Operator: Good day, and welcome to the Alexandria Real Estate Equities Incorporated Second Quarter 2011 Results Conference Call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Rhonda Chiger. Please go ahead, ma’am.
Rhonda Chiger: Good afternoon and welcome. This conference call contains forward-looking statements within the meaning of the federal securities laws. The company’s actual results may differ materially from these projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company’s annual report on Form 10-K and its other periodic reports filed with the Securities and Exchange Commission. And now, I would like to turn the call over to Joel Marcus. Please go ahead.
Joel Marcus: Thank you, Rhonda, and welcome everybody to the second quarter conference call. With me are Dean Shigenaga, Peter Moglia, Krupal Raval and Amanda Cashin. Maybe starting with the one quote that kind of firms up the current state of affairs in the macro world with Steve Wins recent statement about both the administration and politics, the greatest web blanket to business progress and job creation, and that is, it looks like the environment we’re working in. From the President’s address to the nation on Monday evening where the debt feeling debate, I think there is one hopeful commentary on a micro basis for our sector. We all want a government that lies within that means, but there are still things we need to pay for as a country, things like new roads and bridges, weather satellite, food inspection, services to veterans and medical research. So I think our collective view internally is that the NIH’s $31 billion annual budget run rate will likely be preserved, if we get a budget. Also note that the FDA, it’s also positive to note that the FDA drug approval rate for 2011 is on pace to well exceed that of 2010. 20 new drugs approved to date and just one shy of the 21 approved in all of 2010. I think another very interesting article is the July 2011 Journal of American Medical Association, I think it portends well for the biopharma industry. The study found, which really confirms one of our overall key macro pieces that the Medicare Part D drug coverage actually lead to a substantial cut in other healthcare spending by about 10% of our patients. So that drugs were actually saving money in the other sectors of the healthcare pie, which we have stated for a long time as really I think this sectors stick with web and it just needs to be made clear to Congress. Moving on to the state of the business – our business today, probably the most significant item is the successful achievement in our – of our initial investment grade credit rating committees in S&P. It is a significant and important milestone for the company. It’s gratifying to know that the agencies highlighted Alexandria’s high-quality tenant based stability of occupancy strength of cash flow, quality of location of our assets, experience and expertise and management and our leadership in the life science real estate space. Moving on to leasing, we did have among the second highest quarter or about the second highest quarter leasing in the company’s history was about 728,000 square feet. GAAP rates increased about 3.1%, and we believe, for the balance of the year, we’ll be in the same range. And we have solid Maryland activity this quarter, but have some rental rate pressures there. We didn’t get strong leasing activity in a positive fashion from Greater Boston. And also on the occupancy front, we had one new route in our Route 128 59,000 square foot building, which will pick up our occupancy back in the next quarter as that has been our release. That was just a timing item with the quarter. We also had a solid 148,000 square foot development, redevelopment leasing quarter, this – during the second quarter. I think we’re making solid progress on the lease up of redevelopment assets. You can look at page 45 of the supplement and expect more lease up in the third and fourth quarters particularly strong from San Diego and Massachusetts. We’re also likely to see some more development asset pickup, page 46 of the supplement, in the third and fourth quarter, and certainly, we have a very heavy corporate focus on Mission Bay and (audio gap) and the East Jamie Court assets. East Jamie Court were nearing completion on suites for four new tenants occupying through the six floors as the project activity is really moderate and we’re tracking a number of emerging stage companies with upcoming needs with tours and meetings as we continue to press our case to provide high-quality facilities is the key differentiator from second or generation sub-leases. And mission bay continues overall it’s star PL as we’ve recently completed a transaction with Pfizer’s CTI entity at 1700 Owens and it’s important to note that the former innovation engines are highly selective in their locations much like their and now Pfizer coming back in Mission Bay with their CTI group, which we also have as a key tenant in our New York property. 499 (inaudible) has initiated its formal marketing campaign, renegotiated and we are receiving positive reception in the market as we’ve expected from a variety of user groups including life science, clinical, medical and technology towards the began, and we expect to be very selective in working with these types of entities over the coming quarters. We also see an opportunity to push rental rates greater than our performance. For 3Q and 4Q we see solid leasing prospects in virtually all of our markets. Remaining 2011 rolls, we’ve got 984,000 square feet rolling over the next two quarters, about 22% are leased or certainly likely to be completed. About 42% are in redevelopment, primarily two big buildings, as you know, almost 200,000 feet or 400 Tech Square conversion. We are expecting Forrester Research Tech building over the coming quarter. Our initial preleasing discussions are going very well. And we are looking at, I think a good lease up and a strong ROI much like our 200 Tech Square conversion project. And then second big redevelopment is the Gates Foundation building coming back to us again in the next quarter here. We were already 55 preleased before they’d removed out with very good upside, 116,000 square feet. The balance of 2011 rolls, 36% is marketing up 346,000 square feet. We also signed our last lease for the remaining lab space with the Alexandria Center for Life Science, New York of about 5,000 feet, and all we have left are a few office space on one of the floors. And we just actually opened a state-of- the-art urban farm there, which is getting a lot of attention in New York City. On our 2012 lease rolls, 1.4 million square feet, about 25% are leased or likely to be leased, two small buildings about 5% are going into redevelopment for conversion and the balance about 69%, 70% are being marketed with a balanced exposure in San Diego, San Francisco, Greater Boston, Suburban, D. C. and Seattle. Occupancies over the third and fourth quarter we’re expecting, I think, pickups in San Diego and Greater Boston. And on new development, as you know, from our press release, we did sign a 307,000 square foot, 15-year lease at our 225 Binney Street project, part of the Alexandria Center for Life Science, Kendall Square with Biogen Idec, a truly outstanding company. The building will be office, but will be able to handle lab. We have solid ramps and George Scangos, who we’d known for many years, the CEO, commented on his move back from Western to Cambridge, and said essentially that they need to be where the heart – innovation and researches. I mean he didn’t want a split function of office in the suburbs and research in the city. So I think that’s a good win up for Cambridge, post vurtex. On the international front, we think that medium to long-term international exposure are carefully and thoughtfully executed, as a positive, as there is a different growth trajectory overseas, which will benefit Alexandria over many years to come. Moving first to the Mars announcement, they announced the kick-off of the second phase of 764,000 square feet, substantially, at least a 100% financing on outstanding terms from the provincial government. Our structure and investment return will be similar to a subground leaser and it’s in one of the absolute best location in Toronto’s medical discovery metric. Moving on to India, there have been press reports about Alexandria investments in India, some of which are unfortunately unsubstantiated, others are directionally through, but perhaps wrong in the detail. Consistent with our communication with our investors and analysts, we’ve thought to allocate capital and invest our resources in key markets and stock markets very prudently. Recent press reports have identified out the entry of the developer, the Bangalore Helix project, this is certainly accurate, but the project we’ve been focused on for several years and in fact those following the company back in 2007 will recall, this is the project that we shortlisted back then, but was rebred over the last couple of years, due to some just internal governmental issues. What is not accurate in the press reports are many of the details. Since we are the master developer in the Bangalore Helix project, the full scope of the project is actually larger than what our capital investment will be. In total over the next five years plus, we’ll build out approximately 600,000 square feet of technical space with the total investment over that timeframe of about a $100 million. So far, investment has been less than about $15 million, given site work and the normal billing cycle we expect that our first facility would be ready in early 2014. Finally, a quick note on our underwriting standards with regard to international investments. We take pride in our conservatives and then underwriting for any investments, which we discussed at some detail in our last investor day, in order which to earn a risk adjusted return for our investors, we focused on earning premiums of several basis points after tax about what we can earn domestically. It’s undoubtedly premature to discuss the specific economic details, but we want to try to address questions from a macroeconomic level, as we move forward, we’ll help investors, more fully digest the opportunity, but slated to say for now, we view the opportunities compelling and seek to manage risk and be compensated for the risk we ultimately do take. And then finally, a couple of points we’re working intensively to sell a number of non-core land parcels in various sub markets. We’re also working intensively on asset recycling, particularly focused on sales of certain legacy and lesser quality buildings in sub markets we would like to exit. We’ll likely see some additional acquisitions in 2011, focused on key tenant in key sub markets. And significant build-to-suit opportunities remain Mission Bay and New York City and Cambridge and we’ll keep you updated on the progress. So let me turn it over to Dean.
Dean Shigenaga: Thanks, Joe. Good afternoon, everyone. Jumping right in here, we reported FFO for share diluted of $1.15, this exclude to the $1.2 million ride off unamortized loan fees related to the early repayment of our term loan. We reported earnings per share diluted of $0.44. Turning to the balance sheet, let me provide a brief overview of our recent amendment to our term loan. This transaction represents a key milestone with pushing out our last significant 2012 debt maturity. We’ve raised about $500 million of incremental bank debt capital, extended our mutually ultimately to 2016. And pricing on the term loan is at 1.75% over one month LIBOR. This leaves us with about $250 million outstanding on our 2012 term loan. As you look at our debt maturity schedule on page 29, you’ll see the highlight there, the debt maturities again have been pushed out to 2015 and thereafter. Subsequent to quarter end, we’ve repurchase $82 million of our 3.7% convertible notes. Leaving us with approximately $125 million outstanding today. Next, turning to balance sheet, capital structure and equity objectives over coming quarters and over the next several year, we’re clearly committed to maintaining a broad and diverse set of sources of capital. As you are well aware in July Moody’s Investors Service have signed to be AA2 stable issuer rating to Alexandria and Standard & Poor’s have signed BBB- corporate credit rating to company. As the result, we expected tap the unsecured bond market in 2011, obviously subjected to market conditions. We’re committed to maintaining low leverage and solid credit metrics. We fully expect to reduce and eliminate convertible debt from the capital structure. We’re looking forward to further ladder of debt maturities, transactioning variable rate bank debt to the fixed rate unsecured bonds. We fully expected to maintain, adequate liquidity from net cash provided by our operating activities, cash and cash equivalence and substantially greater than 50% of availability under our line of credit. We expect the fund and grow dividends from increasing operating cash flows and to retain that positive cash flows after payment of dividends for investments in into acquisitions and or redevelopment and development projects. Looking out over the next six quarters through the end of 2012, we anticipate future capital needs to be sourced with approximately 50% equity, with equity including proceeds from selective recycling of capital from asset sales from time to time. Moving next to credit metrics, our net debt-to-EBITDA was about 6.5 times for the second quarter annualized and we expect this ratio to improve over time with some variance temporarily quarter-to-quarter. Financial covenants under our credit facility are as follows. Leverage was 34%, the covenants 60%, unsecured leverages 35%, the convents 60%. Fixed charge coverage ratio was 2.4 times, current quarter annualized was 2.5 times and the covenant is 1.5 times. Our unsecured debt yield is in the 15% to 16% range and the covenant is 12%. Turning to uses and sources of capital for the remainder of 2011, uses aggregate about $768 million consisting of approximately $50 million on acquisitions, about $244 million in construction spending, consisting of the following. $119 million for redevelopment, $55 million for development, about $34 million for India and China, and pre-constructions consuming about $12 million and about $24 million of other projects. We anticipate common dividends of at least $56 million, repayment of secured debt of about $93 million, repayment of our 2012 term loan of $250 million, and the retirement of about $75 million of our 3.7% notes. Sources for our cash for the remainder of 2011 will include our line availability of about $925 million, net cash flows for each quarter annualized over the next year of about $100 million. Cash on hand of about $61 million, assets on land sales projected to be about $75 million. And as highlighted earlier, we plan to complete an unsecured debt financing as well. Turning briefly the same property performance, we reported year-to-date same property NOI growth 0.5% and 6.5% on a GAAP and cash basis respectively. These results exclude termination fees and reflect contractual increases in cash rents and increases reflective of leases executed in late 2008 and 2009 with some amount of free rent. Additionally, operating expenses in the same property pool was up about 8%. As a reminder, 95% of our leases are triple net and accordingly, fluctuations and operating expenses are cast through and recovered from our tenants. Briefly on G&A. G&A was up about $1.2 million from last quarter reflecting the acquisition cost related to the purchase of a property in Mission Bay, and a measured increase in payroll, another cost related to the growth in the depth and breadth of our business. Lastly, turning to guidance for 2011, we updated our guidance primarily for capital related matters. FFO per share diluted was provided in a range of $4.37 to $4.42, and EPS diluted of a range of $1.82 to $1.87. Our guidance is based on various underlining assumptions and reflects our outlook for 2011, some of the assumptions include the following. A loss on the early extinguishment of debt including $0.06 since our guidance in the first quarter earnings call, again $0.02 of an impact related to the amount and timing of the additional term loan that we closed on June 30th. And again just to clarify, this relates to term loan we closed in the second quarter, the $0.05 impact related to the timing of future, unsecured bond offering, moving from 2012 in to 2011. From a modeling perspective, we are not prepared to discuss the details of the bond financing assumptions, since these items will be determined based on market considerations of the time of any future offering. We believe our guidance has captured reasonable assumptions for this future event, and we will target 10-year paper in an amount that should provide appropriate liquidity for fixed income investors. We lowered our acquisition assumptions and that impacted our numbers by about $0.01. And we had a $0.01 impact from the timing of repurchases 3.7% convertible notes. Straight-line rents are expected to be in the $27 million to $28 billion range for the year. Really, reflecting the impact of the recent release, we executed with Illumina in San Diego driving an increasing straight-line rent in the second half of the year. Additionally, straight-line rents drop down to a quarterly average of about $5 million in 2012. Phase 141 mark-to-market lease revenue will be dropped in below of $1 million beginning in the third quarter, and continuing at that rate for a number of quarters thereafter. With that, I will turn it back to Joel.
Joel Marcus: So operator, we are ready for Q&A, please.
Operator: (Operator Instructions) And we’ll take our first question from Anthony Paolone with JP Morgan.
Anthony Paolone – JP Morgan: Hi, thanks. Good afternoon. You mentioned some build-to-suit activity that you’re still having discussions on – and then Cambridge and also in New York. I was wondering if you can give us an update on progress in New York in the potential West Tower there.
Joel Marcus: We don’t have any specific news to report, Tony. But I would say that given our fairly intensive marketing program that we put together and we’ve been organizing over the past month or two coupled with the legacy demand that we had on the East Tower of about 200,000 feet. I think we look pretty positively at the prospects in New York. We delivered first phase impact, I think, back in August to Lilly. And as I’ve said, we just signed our last lease for – last small piece of lab space just this past quarter that we’re now full other than, I think we’ve got through the four office, little spaces for lease up on the 15 floor. So I don’t have anything specifically to report today. But I think we’re optimistic that New York City is a good strong market with increasing rents and there – certainly there is a strong demand from a variety of sectors where there are no choices, people – a number of groups of entities – suburbs and not an alternative. So no interest in going to New Jersey or Connecticut or Long Island or wherever. And so Manhattan remains the destination of choice. On the Cambridge front, I think we’ve just digested our negotiation and kick up of the project with Biogen Idec. So we’ll keep you posted, but we do have at least two very interested parties in one or more of the other, we have four other buildings and we’ll keep the market posted over the coming quarters. But we think there is good momentum in Cambridge after an initial worry that while it was vertex somehow representing some macro pieces of everyone wants to now get out of Cambridge, but we all know that’s really not true and that was a unique situation based on this yield there and his desire to be on the waterfront and the legacy deal that they had pre-planned.
Anthony Paolone – JP Morgan: Okay. Is the idea still to focus on about 50% pre-leasing, you get something started in either of those markets?
Joel Marcus: Yeah. I think that would be the minimum. We expect that would likely be higher. I would think, in Cambridge, in particular, my sense is it would be substantially north of that, because we’re likely looking at full or heavy substantial building users. New York, it’s hard to say, because we could certainly go forward if we had 200,000 square feet out of 400, because we think the market there has good demand. But we’re trying to be prudent of how we manage our spend and balance that against are – now being an investment grade company and all the metrics we need to pay attention to.
Anthony Paolone – JP Morgan: Got it. On the Toronto deals, can you give us a little bit more detail on things like the structure, how much capital do you have in the deal right now and sort of the commitment that the leasing commitment that exists, because there has been some press on that project and I just want to understand exactly–
Joel Marcus: Yeah. I want to be careful because we – we’re not now in the driver seat on the project. MaRS itself is the financing, the financing it’s been providing a 100% at extremely favorable rates by the provincial government. They’ve announced I think two significant institutional releases. I think it’s fair to say that the building is more or less substantially committed. We have, I think approximately $75 million into the project and as I said our structure is one of being essentially that of a – kind of think of it as a sub ground lesser with rates that are more or less in line with what that would hold. We will work with MaRS strategically on leasing and we will also work with them on the marketing side, but we don’t have any responsibility anymore for construction or we’re not responsible for the loan. So the result is actually a win-win for everybody.
Anthony Paolone – JP Morgan: At the end of construction, do you – is this like a construction line or is just stay with the property for the duration. You guys are kind of done of the capital side in terms of having to extend?
Joel Marcus: Yeah. We are down on the capital side.
Peter Moglia: Yeah. Hi, Tony. It is Peter Moglia. There is a construction loans, it’s going to fully fund the remainder of the building. It’ll be in place for approximately 3 years until the building is completely stabilized. And then there is a commitment as well to permanently finance it out. So financing looks really good and there is no need for Alexandria capital to do anything further.
Anthony Paolone – JP Morgan: Okay, got it. And just a couple of questions. Just on the leasing side. One, is your 2012 lease expirations moved up sequentially and I was just wondering what happened there?
Dean Shigenaga: Yeah. I believe – you said 2012?
Anthony Paolone – JP Morgan: Yeah.
Dean Shigenaga: 2012, we had one space in Seattle, I believe about 64,000 square feet, where the life science entities actually had a right to barley terminator a portion of their space which they did exercise. The good news is, we obviously were aware of it. Seattle is a very – market for Alexandria and our asset base there. And we are engaged in early discussions with every quality entity to take that space.
Peter Moglia: Yeah. That was, Tony, to be a specific that is – space is now all office, it’s occupied by the Fred Hutchinson Cancer Research Center and there relocating that office elsewhere, but the demand we’ve got 1%, vacancy in Seattle were 55% or more preleased on the future conversion of the Gates Foundation building. So we view this as actually a good thing to be able to have. If possible, we would lease it immediately for office, but we have a desire to potentially convert it to lab, because the rents are very strong in Seattle and in fact on the office side, as you may know, Amazon just increased I think their South Lake Union presence from 1 million to almost 2 million square feet. So that market has been on fire.
Anthony Paolone – JP Morgan: Okay, good. And just last question in Cambridge with Forster leaving the couple of hundred thousand square feet there. Do you think the downtime there goes into 2012 before you have a replacement tenant and you start get rent on that or like what’s the process there?
Peter Moglia: For sure, before we start running and I think the conversion time is probably 12 to 18 months. Because it’s like 200, it’s a big building and it’s complicated redevelopment. But we already have I would say advanced discussion for at least probably half the building or more, potentially even more on that, we might able to announce over the coming quarters that we are seeing demand to be extremely strong, and that from a lab side and we know there are a number of office users that could swoop-in potentially and trying to it all, which would accelerate it, but we’re primarily focused on, we’re actually up two big lab users who were deeply engaged with there.
Anthony Paolone – JP Morgan: Got it. If I may have misunderstood or just missed this. But that building does come out of service then, is that the idea.
Peter Moglia: Oh, yeah. First we’ll move out, it’s a kind of a couple of decades old office building that had always been targeted for redevelopment, when MIT owned the property, they were just going to update it much like 200. So, yeah, it will come out of service.
Anthony Paolone – JP Morgan: Okay. Got it. Thank you.
Peter Moglia: You’re welcome.
Operator: And next we’ll move to Michael Bilerman with Citi.
Quentin Vellely - Citi: Yeah. Hi, it’s Quentin here with Michael. Just firstly in terms of your land held future development, the international land held went up by that 1.8 million square feet. Can you just walk us through what some of the increases, I’m not sure whether it was from the Bangalore Helix project you mentioned, there were other stuff that’s come in there?
Dean Shigenaga: Yeah. It’s primarily from two projects, one in Hyderabad and another in the north of the country. And these are generally opportunities where we could either purchase land or we win a bid for land with the government that they come up from time-to-time and we don’t have a choice, and there are not high cost either, particular but they provide outstanding sub-market locations for our future development. And I would say that when they come up if we’re looking at a sub-market especially if the government is running an auction or a bid, you have to respond otherwise you lose that opportunity in perpetuity. So timing is one that we’ve not necessarily our choice in all cases.
Quentin Vellely - Citi: Right. I think you mentioned that your share of Bangalore, Helix would be $100 million, how come?
Dean Shigenaga: Right. Over the five-year period.
Quentin Vellely – Citi: Right, so these additional projects what are over five-year period, what could we be looking at in total out of CapEx in India?
Peter Moglia: Well, I think on that project we mentioned hundred million dollars about 20 million a year. We’ll try to give you better visibility over the next quarter or so, as we begin to try to highlight some of the specific locations we’re in. But I would say, Dean as you look into 2012, what number would you scribe to that?
Dean Shigenaga: Well, I think – in the prepared section of our call, we highlighted that our stand at least over the next six months and ages only about $34 million. I would expect that number is going to increase modestly in 2012. We’ll provide a better outlook over the next 12 to (inaudible).
Quentin Vellely – Citi: Okay. And then, just one more form me, and I think Michael is got one, just in terms of the credit ratings and if you read the language it’s very particular about the level of the volume of development you do. How much sort of on an annual run rate what volume in dollars million you’re comfortable doing?
Dean Shigenaga: Yeah, I think our goal there (inaudible) is to really manage the amount of leasing risk, as well as the development dollars. But I think the ultimate governance is going to be per balance with not too much under construction at any given point in time, but on the development side in the U. S. just being real prudent about having significant and everything to date postcards in the U. S. that was initiated vertically by us, not purchased as a development to complete. But although vertical projects included in most recent one in Cambridge have been all pre-release in the Cambridge Biogen deal is the third – 100% clearly is projects. So I think you will see us manage the lease up risk and then manner and just selectively pursue the opportunities that manage through overall dollar investment.
Quentin Vellely – Citi: Joe, I just had a couple of questions. I was thinking about the Canada project and when you said back in ‘07, there was obviously a lot of fanfare regarding you talked about the globalization of your business, the internationalization on your business creating a life science cluster up in Canada. Do you think would be Edinburgh, Scotland award in that project China, which you sort of fit some R&D with couple of projects now you have India. I guess, what’s – obviously not all the – probably the way that they were set out or the fanfare that was created when they were out. Can you talk a little bit about sort of what’s the beneficial, what’s disappointed you and how you think about it?
Dean Shigenaga: Sure. I think that’s a great question. I’d say, the environment we’re in today I’d say substantially and radically different than ‘05, ‘06 and ‘07, when we looked at really the moving in a pretty dramatically, as far as focus to the internationalization of our business. I think it’s clear that is happening. The pharma companies are looking at 20% to 30% growth rates in many of the emerging markets. So we have to be aware and pay attention to that change. But I think when it comes more Micro, I think we’ve always looked at the Canadian market, for example, as a – it’s about 10% the size of the U. S. market. We always felt it’s a very good market, high-quality real estate, low cap rate, there is no 1031 transaction, tax deferral there. So not too many projects ever come to market, because of tax reasons. So we’ve tried to build in a measured by small presences in the greater Vancouver area, kind of the Montreal area and this was our run at Toronto. I think at the end of the day, this was probably a good result given where we are today after the crash and given that we are now investment grade. This was probably a very good result for us. If we go back to 2007, if we were to have the knowledge we have today, we might not have pursued some of the projects, I would say, in Canada or Europe. But I think our decision to go for Asia, it’s been a good decision and one that we think is important. We have really no balance sheet exposure in Scotland. We have essentially long-term options that the original cost of the Scottish enterprises there. So it something develops there, we always have that option. So we really have no exposure there, no further exposure to development or in Toronto, so that’s a good result although not necessarily intended in 2007. I think China is one thing that has been a big disappointment. We’ve got a first in class team there, we have first-class buildings but we’re suffering from some of the challenges of just the huge bureaucracy and the challenge of incentives and how they are built out in China. And so we’re working through that. I think we’ll be able to announce probably in the next quarter or two our first big pharma signing there. But it probably isn’t the market we can scale in very easily, fell as a result. We’ve really focused our efforts on India, we have more orders than we can take at the moment, which is a good thing we do have to pay a quick amount of attention to being very measured and prudent on the deals we do and our capital spend as an overall percentage of the company. But we do believe there is a huge opportunity there and so I think at the end of the day the way things have worked out really has been for the best. But if we’re to back and do it again we might do things differently, given the knowledge we have today if we had at then.
Quentin Vellely – Citi: All right. That’s helpful. This question for Dean. If you think about the $0.05 impact on doing basically terming out your flooding rate debt. Was that unsecured bond offering at some point in the near future. Can we think about what that would be sort of an annualized basis and I know it’s a little bit it’s a little bit circular because you’re going to term out your debt. All of our interest rates are going to go up and because of your capitalizing basically half of your debt for your development pipeline the rate at which you capitalize for your development pipeline would mean that you’re going cap more interest so the gap impact is going to be much less than the cash impact. And I want to know if you can sort of walk through at least within some goal posts on an annualized basis by doing a fixed rate financing and thinking say you’re going to term out $500 billion of your floating rate debt exposure and picking interest rates 5%. What would that do to sort of your capitalization rate for your interest capitalization? What would it do there and then what would happen on a GAAP and cash basis?
Dean Shigenaga: Yeah. I think you articulated the question and the methodology or the impact on our business very well Michael. If you use the numbers that you rattled off, I don’t have the exact math but using the numbers that you used in your question of $500 million at 5%, you have got $250 million term loan being repaid at almost 1% spread over one month LIBOR any incremental – the difference between that term-loan and the $500 million number you’re using in your example would go to repay outstanding borrowings on our line of credit at 2.4% over one month LIBOR. So there is a differential between those two interest rates LIBOR based rates with the spreads and the 5%. You’re correct that 50% of that, roughly speaking, and you could do the math, the capitalization of interest relative to the growth interest cost in any given period soften the impact of the higher cost of capital in the refinancing. The exact impact on weighted average interest rate for the interest capitalization calculation is highly dependent on the mix of fixed rate debt averaging somewhere in the 5% range on our balance sheet and floating rate debt at a much lower cost. And as that proportion of the mix of fixed to floating changes, as it will with the bond offering, that also drives the weighted average interest rate used for capitalization. So the interest rate change for capitalization is driven by the mix of fixed and floating proportionally as well as the transition of – from LIBOR based low cost variable rate debt to a – say five this range, fixed rate 10-year financing. So I hope I gave you – provided some color without actually giving you the actual interest rate, because I don’t have my model in front of me to tell you the exact incremental change on our weighted average interest rate.
Quentin Vellely – Citi: Right. But I rough math, if we did 500 of the 350 basis point spread, it’d based on $17.5 million or almost $0.30 per share cash dilutive, but probably was just within half because half of your debt is capitalized so it probably mean that 2012 estimate, just people don’t have this in their model, would have to come down by about $0.15.
Joel Marcus: Yeah, but keep in mind, in this scenario of numbers, while 250 will go to repay of term-loan, and the short answer of it will be, the remaining will to go to pay down or line of credit. We’re also in the midst of retiring 3.7% notes. And so that needs to be considered, there is a GAAP impact of 6% on those notes. So it’s a little more complicated than what you described, but if you just keep in it very simple, so I mean, half goes to term-loan, half goes to the line of credit. I fully agree with the math that you’re describing, that’s somewhat of – because in reality the LIBOR curve is moving as you look forward LIBOR is moving up and the impact in 2012 as an example won’t be as diluted as it will be for 2011.
Quentin Vellely – Citi: Okay. Thank you.
Joel Marcus: Thank you.
Operator: And we move on to Sheila Mcgrath with Bruyette & Woods.
Sheila Keefe Mcgrath – Bruyette & Woods: Yes. Joel I was wondering if you could give us some color on any interest at the new mission day acquisition on the vacant space there.
Joel Marcus: At this moment I don’t have anything specific by way of type of or nature of tenant but as I said, we have had quite a good showings and quite a few a discussions including as I said life science clinical, medical offers and technology, I think over the coming quarter or so we’ll be able to give you a more granular view of that but I’d say, stay tuned so far, it’s really the only significant block of space around. So we think that if we go 1% vacancy in that market that’ll make things look pretty good. I’ll let Peter comment as well.
Dean Shigenaga: Sheila, I just want to remind you that we, the way we under wrote this is that we want to get our first tenant in that until month 13 and then we are going to lease it up to over 24 months total. So, we are taking our time, we want to push ranks, we are coming out at a very high rental rate versus what we under wrote and we are going to be patient and try to accomplish that before we go ahead in lower – try to increase the velocity of the leasing.
Sheila Keefe Mcgrath – Bruyette & Woods: Okay. I wonder there – a quick question on, I think we all saw the editorial, I think it was the CEO of Merc in the journal discussing about how the government shouldn’t put legislation that might block innovation of pharmaceutical companies and I am just wondering if you could highlight to us, legislative things in Washington right now that your tenants might kind of be watching closely.
Dean Shigenaga: I may have Amanda comment generally but I would say that there are 3 significant issues that may be more – the big one is the budget over all and any negative impact NIH et cetera so that’s clearly one. There is a bill which looks likely to pass in the patent area which would be moving our systems from a first-to-invent to first-to-file. That could be good or bad depending upon I think it go both ways. The world of technology likes, that the world of life science haven’t historically been used to it. But it’s not necessarily the worst thing in the world, you have to be careful about publication and then I think that is an attempt to – the whole FBIR granting as opposed to kind of these renewing year-to-year and that would be good too. But Amanda, you could comment a little more broadly.
Joel Marcus: I guess may be just one more thing to add since those three items is another possibility with data exclusivity. There was talk from Washington to decrease the time that biologics are protected from data from their clinical packages. Currently, the Congress instead of holding that year level at 12 years to protect the data, but the White House and the Obama administration is pushing for lower seven years. I think that 12 years is the be optimal link, but if it were decreased, then I think that could impact incentives to invest in the biologic space although, I think we’re sort of optimistic that it won’t go to that seven year lower level.
Sheila Keefe Mcgrath – Bruyette & Woods: Okay. Thank you.
Joel Marcus: Thanks.
Operator: And we’ll move on to Jonathan Habermann with Goldman Sachs.
Jay Habermann – with Corner: Hi. Good afternoon, Jay Habermann here with Corner. Joe, can you talk about asset sales as a source of capital. I know you mentioned, I think $75 million on the back half of the year, but just curious how you think about source of that capital beyond the current year and how you think about asset sales in that context.
Joel Marcus: Yeah. I think as I said in the – in my kind of opening remarks, we certainly have moved to a position where we’d like to liquidate a number of land parcels in a variety of sub-markets, because number one, their non-income reducing; number two, they’re really not so much anymore core and in some cases, they were purchased with a different mindset pre-crash or at a time even earlier kind of a legacy asset, then I can think of a couple of that. But I want to be careful here for accounting purposes. So I think you’ll see some of that unfold over the coming quarters and I think even in the coming years, as we try to lighten up on any land parcels, which could that build sometimes also we’ve had acquisitions historically, which have come with adjacent parcels with FAR or we’ve gone out and got it entitled and we don’t view that – we didn’t make that acquisition really for that additional FAR and we see an ability to sell some of that off. We’ve got one situation in Maryland, we’re looking out today, where we might be able to monetize something where, we felt the building was right, but we didn’t necessarily need additional FAR. So we’ll look at opportunities like that and I think you’ll see us report actual sales that happened, we’ve done it in the past. And I think you’ll see that ramp up a bit. On the operating property level, we are looking clearly at a number of sub-markets in the number of building which have as the company really grew up we acquired. Now we don’t see them quite of (inaudible) and critical with company’s operations or locations. And I think you will key up sometime roots about it or one of the assets and look to recycle that capital. Clearly, recycling is very important to us as part of our sources that capital and so I think you’ll see us intensely focused on that. So hopefully that’s helpful.
Jay Habermann – with Corner: That’s helpful. And (inaudible).
Unidentified Company Representative: Jerry, we’ve been talking about one particular land site for some time now, that’s been under contract and it’s that we can tell right now, probably close in the third quarter.
Jay Habermann – with Corner: Okay. Thank you. And then could you speak a bit of guess about market rent growth what you’re seeing across some of your core markets, whether it’s Santiago, San Francisco, and Cambridge?
Dean Shigenaga: Yeah. I would say and then will have Peter comment, I would say in Seattle, we see a very good, stable rent. We’re seeing, I think, we’re some of the phases we’re rolling and coming up. We see very positive. I think the overall impact of what’s going on in public union has been helping that. I think, we see as Peter mentioned, our ability to move North of where we performed a 350 rents there to somewhat higher rent and, yeah, more than we would have guessed before. South San Francisco is kind of a different story, I think we’re struggling, competing with second and third generation space and subleased space. I don’t see any momentum there and kind of an overhang in the market. I think we’re seeing very positive rent growth in Santiago and stay tuned over the next quarter or two for that. And I think first time in three or four years, maybe more that we are seeing it dramatically turnaround. I think Cambridge, we’re seeing again good strong rent and decent stability there. Maryland a bit on the weaker side. New York has been strong and North Carolina has been hanging in there. I don’t know.
Peter Moglia: Thank you, I mean, you touched on basically, most of it, mission based, definitely gotten stronger, but South San Francisco gotten weaker and the Mid-peninsula and South San Francisco are pricing about the same level right now between $2 to $2.75, but Santiago is just been at the rock star of all our regions. At the downturn rents in point and ETC went from about $3 down to $2.25 to $2.50, there was one deal in – point that even went under $2, which was something that we haven’t seen since probably the starting of the company, but we’re looking at deals now all about $3 in those submarkets and the demand is strong in fact in one particular project that we are developing. We had two buildings, we had four tenants and so we had fine states were others elsewhere. Seattle rents had remained fairly stable there. The overall vacancy and then market has always been low and there has been a lot of growth because there hasn’t been a lot of growth in demand there, but rents have remained stable. Massachusetts remained fairly stable. We are not seeing too much decrease in demand or decrease in rental rates due to the vertex move out. That product is not available for now, I won’t be for quite a while, so pricing has been holding. As Joe mentioned, Maryland has been a weaker market, but I’d say that the rental rates are at the levels they have been at over the last three or four years. In certain instances, things are surprising a little bit lower than historical, but overall newer high-quality products still on the high 20, low 30s range and then North Carolina is a very stable market, not a lot of growth, but not a lot of decrease in demand either.
Jay Habermann – with Corner: Okay. And just final question, I’m sorry if I’ve missed this. Have you identified the assets, I know you targeted 50 million of acquisitions later this year. Have you identified the assets so far?
Joel Marcus: We have few negotiations that are ongoing on land sides, the closest one. There is three specifically that one that – it’s further advanced is the one I mentioned earlier that will very likely close in the third quarter.
Jay Habermann – with Corner: I was talking about acquisitions not (inaudible).
Dean Shigenaga: Sorry, I totally messed the question.
Joel Marcus: Yeah the 50 million on acquisition, we do have some in the pipeline, yeah.
Jay Habermann – with Corner: Okay, thank you
Joel Marcus: Yeah. Thank you
Operator: And next we’ll move to John Stewart with Green Street Advisors.
John Stewart – Green Street Advisors: Thank you. Dean, on the land under contract expecting to close in the third quarter, what’s the sort of order of magnitude on the parcels there?
Joel Marcus: High teen, it’s just beside 20.
John Stewart – Green Street Advisors: Okay. Joel, I know you said that you don’t have any balance sheet exposure in Scotland. I think a year ago, I’ve been under the impression that one of the land parcels wasn’t Scotland, was that may be an option exercise of some kind or has that already moved and I missed it with the story there?
Dean Shigenaga: Yeah, I can’t remember – John, it’s Dean here. I can’t remember the exact timeline but it seems like it’s been – feels like it’s been in cost of two years to go when we sold a portion of the land that was tied under an option at a minor – totally practically break even I think, it covered our on transaction cost to transition it back out of our options to allow somebody to build on it. That and so was a small amount of what held. What we do have on tied up on our balance sheet related to Scotland is primarily diligence cost to get the option under control, as well as a little bit of soft costs for early site planning for the overall project. But based on what we understand, the needs are there over time and the way the option is, that the – such a favorable basis. We truly believe that our basis will be recovered, meaning, we will be able to transfer the option if we choose to other parties and that will probably occur over time.
John Stewart – Green Street Advisors: Okay. And being just sticking with the same line here, it looks like the international land helper development in the international bucket on page 47, Moved up by first, $2 million feet during the quarter. Can you explain what the driver was there?
Dean Shigenaga: Yeah. I think in the question that Quentin at Citi Group asked, I have commented that most that related to acquisition of the land, not particularly high price by any means concurred to U. S. standards in our Hyderabad cluster and then one in the North. And sometimes these land opportunities, John, as I described come up from time-to-time on bid or auctions that are run by governments, either local and national. And thus you have to kind of respond if that’s the sub market and the location you feel strongly about. And so, we do time-to-time, timing is maybe less than in our control than it is. Just opportunities, we’re just kind of add Hawk, but those were the two main drivers in that numbers increasing.
John Stewart – Green Street Advisors: Okay. And then can you – Joel, described your ownership interest in (inaudible) projects I know you said the $100 million is your share, but you are also the master developer. So can you just help us understand is it a joint-venture with the government. What’s the story there?
Joel Marcus: No. It’s a 60-year ground lease where we have responsibility for helping master plan this whole site. It’s adjacent what if in Bangalore really the Prime high-tech center of electronic city where emphasize many of the major technology companies are located. It’s a very good location. We’ve looked at it for a long time, it’s just now very close to off ramp of the new playway. So you don’t have to go unnecessarily across town. But in addition to doing the master plan work and the government is (inaudible) are partnered there, not in the joint venture, but in a Grand lease arrangement. We do have a commitment over this multi-year period to build up to about 600,000 feet to technical space, and above that it’s a 20 million clip a year. And so that really what we’re talking about, we think you’d say, I would kind of analogies that so being in kind of the power area, it’s fit me a number of pretty big pharma firms and certainly at the heart of the technology center in Bangalore which is one of the best cities in sub-markets in all of India, so we really love the location.
John Stewart – Green Street Advisors: And so you’re – forgive for delivering the point, but you did say joint-venture, so is there another joint-venture partner other than the government or is entirely –?
Joel Marcus: No, I’m saying it’s, yeah, I’m sorry, I’m saying it’s not a joint venture, it’s really pursuant. Our relationship is pursuant to a grand lease, that’s the structure.
John Stewart – Green Street Advisors: Got it, okay. And then just lastly, I thought you said 600,000 square feet for $100 million, so it would – is a $165 a foot that it cost to go back and that seems higher than I would have guessed?
Joel Marcus: Overtime, it depends, I mean, we are likely to be building for U. S., big U. S. or European firms. We’ll announce probably over the coming quarter or so our prospect built-to-suit that we’ll be delivering for a big pharma there. So the space is pretty technical and the western standards. I think the land is much cheaper, building costs are somewhat cheaper, but obviously, the technical infrastructure has to be to international standards.
John Stewart – Green Street Advisors: Okay, thank you.
Operator: (Operator Instructions) And next we’ll move on to Philip Martin with Morningstar.
Philip Martin – Morningstar: Good morning – good afternoon, everybody.
Joel Marcus: Good afternoon.
Philip Martin – Morningstar: I just wanted to see if you, Joel or whoever may want to speak just in terms of the attitudes among your existing and potential tenants toward development, to redevelopment or just even relocating, especially if tenants just continue to analyze and manage current and future space needs – some exciting things from that or –?
Dean Shigenaga: Yeah, that’s actually a fairly great question we almost never get. And I think it probably is there’s two sides of the world. As I mentioned in the prepared remarks a lot of Big Pharmas are – and (inaudible) talked about this quite frequently, are exiting or substantially flaming down their core research function on the remote locations and suburban locations. Pfizer, for example is moving two big requirements out of Groton in the – into Cambridge. One landed at MIT, another is still out for market or out for site selection. Historically, they chose Groton, because it was a great place, it was on the water. So their fermentation capability was enhanced by that location, but they realized for decade, they can’t be as productive there as in the heart of – one of the innovation Centre. So you see Big Pharma moving pretty dramatically along those lines. That’s the reason we’ve been successful in New York and Mission Bay in particular. You see a number of other company and we’ll speak about this in the coming quarters, Peter will give some highlights than as well, moving out of current, I would say class B or C-space in the first class A-space upgrading at current rate, we see that going on pretty dramatically in San Diego. We thought it with AluminaI think, you’ll see it with a other number of entities. And I think, that’s something we’ve seen a bit in the Bay area. Bayers move to our Mission Bay also for clusters purposes. I think there are other companies that will move out of clusters I think because of attention to run rental rates, particularly small companies, they’re exiting Cambridge. We've seen that actually for a decade moving to the cheaper suburbs 128 or 495 on those being replaced by bigger, stronger companies. So I think you see some of that, so it’s kind of a mixture. I don’t know, Peter or Mandy you guys want to –
Amanda Cashin: And one thing I would add is the reason why the pharmaceutical companies are breaking down these remote BI-LO campuses instead of looking – markets in our regions. Because, there are really trying to access innovation, and really trying to have a more open collaborative open innovation concept or there locating to be strategic locations to collaborate and really to innovate, to increase their own research and development productivity. So I think that’s a key reason why you are seeing pharma aggressive in these location.
Philip Martin – Morningstar: Is there enough – is demand increasing at the rate where space needs – in terms of – how is Alexandria positioned handle that potential increase in need as in terms of land availability, space availability et cetera. Or are there going to be expansions of clusters or new clusters created because of those change in managing space needs?
Dean Shigenaga: Well, I think you’re seeing a rational evasion at big pharma, and you’re seeing an excess capacity both on people and then abilities that are now being re-deployed to these very high performance drug. They call them, at least some of the companies call them, drug performance unit, so moving out of big campuses in to very target tight clusters. So, I think New York is benefited, Cambridge is benefited, Mission Bay is benefited, in particular, we see some of that in Seattle, certainly a bit of than in San Diego. So I think, (inaudible) over the past many years has been, if we could have both land, redevelopment assets and just existing space in the best sub-markets that are adjacent to the great centers of innovation, the MIT, the Harvard, the University of Washington, the UCSF, the UCSB et cetera, Duke, North Carolina et cetera, we’re going to be more likely to be benefited than if we have less quality locations. And I think, that’s been dramatic. So that’s why over a period of years, we try to essentially dominate as best we could, the submarkets that we’ve chosen. And I think we’ve made calls, South Lake Union, and East Lake Union in Seattle, Mission Bay in San Francisco Torrey Pines and UPC in San Diego, Cambridge. So, that’s how we’ve tried to position the company. And now thinking of international growth, we clearly see Asia has been an important factor, we’ve made kind of a bigger bet on India than we have on China at the moment. Although we think China will work out, it’s just the ability to scale in China is tough and it takes a particularly long time given a whole range of issues. But I think over time, and over the coming decade, I think you’ll see other countries in emerging Asia, which will provide good growth. But – so I think it’s really a redistribution of resources among mainly the participants in the life science industry.
Peter Moglia: And hi, this is Peter Moglia. I just like to add that the way that this trends has been fluctuated, hasn’t been – like, hey we’re going to move this group out of features, we put them in to Seattle, because we want to have a presence in Seattle. It’s been done by acquiring companies in Seattle, and instead of taking the product back to the campus, actually keeping that company in place and growing it. Gilead was a perfect example, they were a 4, 000 square foot tenant of ours. Gilead purchased the company and we a build-a-suit form for a 110,000 square feet. So, it’s been a net positive in the growth of the industry. They’re not just taking people away and putting them somewhere, they’re purchasing the existing company that needs space and actually growing.
Dean Shigenaga: It is extended by –
Philip Martin – Morningstar: Yeah. I think, you’re saying both.
Dean Shigenaga: Yeah. It sounds like the industry is just growing and expanding, maybe as a result partially of the recession of the down cycle, but also just try to – again manage and refocus space things.
Peter Moglia: Yeah. It is internationally and one has also be aware, there is downsizing and rationalizing heavily in the U. S. and Europe and where those have been are really in the these remote campus or locations luckily we don’t have exposure to. You look at Michigan, Illinois, places in the UK, places in Austria, France, Italy and other locations. Our entire thesis has always been if you stay in the AAA cluster locations with adjacency, you’re going to be benefited by this reinvention and moment of the personalized medicine model and I think, that’s what’s been improve true. And so we just have to be careful that we manage our business prudently and be highly discipline in our site selections and that’s why we being very careful overseas.
Philip Martin – Morningstar: Okay. And then just one last question on land sales and even other assets sales. And the land sales do you expect to be selling the land North of where your aggregate costs with respect to that land?
Unidentified Company Representative: (Inaudible)
Philip Martin – Morningstar: Okay.
Peter Moglia: You’ll see, in fact, although a small transaction in the third quarter some 20 million high teens. I think you’ll be pleasantly surprised that the price per foot that we’re going to see of on the parcel.
Philip Martin – Morningstar: Okay. And then the same thing on assets sales. I’m assuming that there is pretty significant interest out there for what you are marketing and that would be north of your aggregate cost there?
Peter Moglia: Yeah, correct. Just to be fair, we don’t have a list that we’re working from right now. We’re deepen in evaluation and see which assets may line with particular users owners other parties that may find use to the particular assets that we might consider. So I think as we go through the next few quarters, we’ll provide more color as those decisions are (inaudible).
Philip Martin – Morningstar: Okay, okay. Thank you very much.
Peter Moglia: Yeah, thank you, Philip.
Operator: And now we’ll conclude the question and answer session. I will turn the call back over to Mr. Marcus for any additional or closing remarks.
Joel Marcus: Okay. We thank you everybody. We’re little over an hour but thank you very, very much and we’ll talk to you on the third quarter call.